Operator: Greetings. And welcome to the Nam Tai Electronics First Quarter 2013 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kevin McGrath of Cameron Associates. Thank you, sir. You may begin.
Kevin McGrath: Thank you, and good morning, everyone. Thank you for joining us on Nam Tai’s frist quarter 2013 conference call. On our conference call today with me will be Mr. M.K. Koo, Chairman and Chief Financial Officer. We will begin the call with a review of our financial results for the first quarter, followed by some comments about our business outlook. After our comments on the quarter we will open the call for Q&A with Mr. Koo. Today’s call is being webcast live and recorded. A copy of the press release which was issued this morning prior to the market open, along with other company information can be found on the Investor Relations page of the company’s website at www.namtai.com. This conference call will last approximately 30 minutes and after the call we can be reached for follow-up questions. During the Q&A, please limit yourself to one question and one follow-up to ensure everyone on the call who would like to ask a question has the opportunity to do so. You’re welcome to get back in the queue after you ask your question. Before we begin, I would like to remind everyone that during this call we will make forward-looking statements related to our future growth, trends in our industry and our financial and operational results, and performance that are based on current expectations, forecasts and assumptions that involve risks and uncertainties that could cause actual outcome and results to differ materially. We refer you to our cautionary statements regarding forward-looking information in the company’s various public filings, including the Safe Harbor statement in today’s press release. We refer to you to the risk factors and uncertainties discussed in the company’s various public filings, which contain and identify factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. These filings include our Form 20-F and subsequent reports on Form 6-K filed with the Securities and Exchange Commission, which could be accessed at sec.gov. Now on to the discussion of our first results, pleased to report comparable net sales growth of 202% in the March quarter, with our LCM business driving the majority of year-over-year growth, despite the challenging benign environment and a normal slow seasonal period. We believe that these results reflect strong execution with our key customers. The net sales and gross profit and operating income for the first quarter of 2013 and 2012 had excluded the discontinued Flexible Printed Circuit and Liquid Crystal Display Panels business. Our net sales increased significantly to $177.5 million for the first quarter, up from $87.8 million in the comparable quarter of 2012. Gross profit margin declined 120 basis points to 4.1% of net sales in the first quarter and 5.3% of net sales in the same period in 2012. The gross profit margin decreased as a result of lowering the unit price due to customers cost down requirement. Nam Tai’s operating income was $1.1 million and lead to operating margin as a percent of sales of 26%. Consolidated net income in the first quarter was $4.9 million as compared to a consolidated net loss of $3.6 million in the prior year period. First quarter diluted EPS was $0.11 compared to a loss of $0.08 from the prior year. The improvement of the company’s results in the first quarter 2013 was mainly due to three factors. First, sales revenue increased by 202% compared to same period last year, as a result of the company’s Shenzhen manufacturing facility production of high-resolution liquid crystal display modules or LCMs for smartphones in September 2012. Second, the company had $3.4 million in other and interest income, including $1 million reversal of legal liability provision for litigation, $0.8 million income from certain sanctioned payment for ending the legal dispute and $0.8 million interest income. Third, the company has improved its operating and net income through streamlining its organization structure by reducing the headcount and by managing its cost. Nevertheless, the company’s gross profit decreased as a result of the company lowering the quotation unit price due to customers’ cost down requirement resulting from the weak consumer market. Moving on to the balance sheet the company’s financial position continues to be strong, cash and fixed deposit maturing over three months at March 31, 2013 was $198.7 million. As announced on November 5, 2012, the company has set payment of quarterly cash dividends of $0.15 for 2013 up from $0.07 in 2012. As previously announced, we conducted a critical assessment of our printed circuit board business, which is in our Wuxi facility and after a thorough view decided to discontinue this business at the end of the first quarter of 2013. From our customer finance standpoint, our sales mix continues to be primarily comprised of LCMs to smartphones and tablets. During the first quarter smartphones comprised 95% of our net sales or tablet contribution was 5%. Turning to our second quarter outlook, near-term challenges are widespread throughout our industry. As a result of lower demand we have further scaled our production build plan significantly below our anticipated revenue levels in the second quarter and therefore lower anticipate -- lower anticipated overhead absorption is expected to continue to put pressure on our gross margin. With that as a backdrop we continue to implement prudent cost cutting measures, including headcount reductions to align our expense structure with anticipated near-term revenue rate levels to maintain our sound financial condition. We are also here to provide you an update on our current plans to redevelop a parcel of land of approximately 530,000 square feet that encompasses our existing Shenzhen facility, in light of the Shenzhen government’s city rezoning project to convert this area into a high-end commercial district. Our current understanding is that the redeveloped land may consist of high-end office buildings, hotels and shopping malls, with a total floor plan of approximately 3 million square feet for rent. The location of this parcel of land is between the Shenzhen airport, the third largest airport in China, and the Qianhai Bay Special Economic Zone. Special economic zone is a result of a long-term joint collaboration and development plan between Hong Kong and Shenzhen governments, and will taken on significance in China’s economic development through the preferential tax rates and incentives policies to be granted by the central government. Based on the development plan and other publicly available information from the PRC and Shenzhen governments, our management believes that it is likely that within the next 10 years this area will experience one of the fastest growth rates in the world. The distance between Qianhai Bay Special Economic Zone and Shenzhen airport is approximately 25 kilometers and our land is situated in the middle. The extensive incentives that the government is granting to land owners to accommodate the city rezoning plan and future tax concessions will significantly benefit the company’s interest. The management intends to engage professional experts to conduct feasibility study, evaluate commercial value and formulate plans in the best interest of the company and will seek board approval prior to commencing the redevelopment. Company considers its existing cash flow sufficient to finance the first phase of development that will utilize up to one quarter of the available land for a building with a total floor plan of approximately 700,000 square feet. However, there can be no assurance that the company will be able to obtain the requisite permits and approvals from relevant government authorities in relation to the redevelopment of the land or to successfully redevelop the land. To summarize, the first quarter net sales and net income were up substantial, while gross margin was negatively impacted by lower unit pricing of LCM. But our markets seems to be challenging due to seasonality and product cycles continue to describe diversify our indirect customer base by our two major direct customers to work with new end customers and LCM products are using smartphones, tablets, ultrabook computers and automobiles. In the near-term due to lower demand we are currently experiencing, managing our working capital is even more prudent at this time. While the current slowdown maybe temporary we have made efforts to minimize potential losses resulting from cancellations of orders by our customers and have decided not to make capital investments into technology platforms that cannot produce steady income streams. We believe that unless market conditions improve which includes indications of a reasonable gross profit and guaranteed non-cancelable confirmed customer orders or other strategic alternatives are found. We may have to hold our high-quality LCM production operation service in both our Shenzhen and Wuxi facility by the end of September 2013 in order to minimize further losses and preserve cash. While these possible outcomes represent very difficult choices for all stakeholders, we believe that until the demand environment improves or we are satisfied that the reasonable rate of return on our capital invested for new products potential LCM programs, particularly for smartphones and tablets is achievable. We are taking prudent steps to preserve capital and reduce potential losses. This concludes the prepared remarks. We’d like to thank you for taking the time and interest in Nam Tai. Christine, will now take questions from the audience. Thank you.
Operator: Thank you. (Operator Instructions) Thank you. Our first question comes from the line of Brian White with Topeka Capital. Please proceed with our question.
Brian White: Yeah. Mr. Koo, I’m wondering if you could talk a little bit about when we will get a timeframe on potentially disengaging with the smartphone and tablet customer, number one. And number two, when will we find out more about the backlight and touch key panel opportunity, that is timeframes and when we’ll hear more about those two items?
M.K. Koo: Thank you, Brian, and good morning. And then your first question is, what’s the timeframe for.
Brian White: Just for existing, potentially disengaging with the smartphone and tablet customer, it sounds like you’re deciding what to do with that customer, when will we find out for sure?
M.K. Koo: Oh! For the tablet is, we find out our customer, direct customer cannot get any more order from the end buyer. So, and then we already consider there is no more order will be forward. Regarding the smartphone, the order is continually but cancellations price to be up and down, and then also we are facing the price pressure, and the order cancelation will happen. So that’s why unless we can find out the confirmed order before any cancelation, plus the unit price can be allowable for the company capacity and the net profit finally, or also we cannot accept the order and the customer also were not placing the order to us. So, this one is still under negotiation.
Brian White: Then when do you think?
M.K. Koo: So that…
Brian White: Yeah. Mr. Koo, when do you think we’ll know the outcome of that negotiation, is that in May or June or July?
Brian White: Actually is we have negotiation even though in the last Friday, but still we have some minor points cannot be compromised. It may be because right now is their Golden week and it’s holiday in Japan. So, I hope that they can still handle the job. They are between the holidays and give us the answer. So after we get answer maybe within these few days or maybe in the next week. There also is very rush and then we’d like to compromise with the company.
Brian White: Okay. And then on the -- thank you, Mr. Koo. And then on the opportunity in backlight in touch key panel, when will you find out if you are involved in that opportunity?
M.K. Koo: This one also is under negotiation even though today. But today, originally, we would like to start con call each other. But, unfortunately, we just go through the customer when he has lending from the [FM]. So, we have to make the schedule in the coming Thursday, 2nd of May and then we will continue the discussion. So several things in this initial contact each other and then we have several terms or conditions to be negotiation. So, we are continually ongoing for negotiation, but without any confirmation right now. We hope that we can confirm everything maybe even within a very short period or maybe before end of June we should be compromised and it will be fine.
Brian White: Okay. Just finally on the real estate Mr. Koo, what is the value for the Shenzhen real estate that we should think about? How much is it worth?
M.K. Koo: For the information we are gathering on hand right now, there is for the rental charges for the office building average it will be around coming up to $5 in three years later we believe that and then total rental income for the company will be approximately around US$40 million. Under the construction costs right now, it will be around that 2,500 per square meter and then -- so this is our cost of the construction.
Brian White: Okay. And you have kind of a net some, you would put a value on this whole thing, Mr. Koo?
M.K. Koo: You mean, everything?
Brian White: Yeah. The costs -- net of everything, what is it worth, you think?
M.K. Koo: You mean the product costs.
Brian White: Yeah.
M.K. Koo: So I think there is a rental charges and then we have another charges, it is the management fee. Management fee is for maintaining. There may be private or public area or for security training. So that is another income. So the management can handle the job. So only the rental charges are possibly around the $40 million. We had the custom (inaudible) is normal. So here $40 million is for whole year, fortunately for the 700,000 square feet buidling.
Brian White: Okay. Thank you.
Operator: Our next question comes from the line of Joe Pratt with Wells Fargo Advisors. Please proceed with your questions.
Joe Pratt: Good morning, Mr. Koo. On the JDI contract, I was just wondering if they had filed to manufacture that could basically produce the LCM displays for the iPhone 5 at -- at the quality they want for the less of a price than what you’re charging?
M.K. Koo: Yeah. Regarding the smartphone we have produced for the customer, even though we have order time to show the best performance on the quality but there still maybe it becomes for the consumer market or our research, so we ordered high under pressure for the unit price. And the unit price is coming down to lower and that will be damage to the company’s interest. And that will create some loss even though. So we were not happy to see something happen like that. The most important is also the capital investment we had but without any guarantee of the stable order. The order is in fact is a loss very severe up and down, and then for example, recently, we have request for we shift manpower, worker for June and then create or increase more of the 1,000 worker headcount. So we need the whole month from May to January, all the hard worker, recruit sufficient worker, maybe least had to recruit 1,300 worker and after training some of them, we have to satisfy the company or company cannot satisfy them. And then there will be leasing company and then it can be gathering 1000. This is very tough job of gathering 1,000 workers within a month, and then provide training to them. But in case, the order saturates, may be they are only 17, maybe one month order in June. And we have all the worker in July. So this one will be very -- make the company in very difficult position. We cannot respond to the worker to hire them and training them and after maybe one month later and then we layoff them. So we are very difficult to control our overhead and the headcount to satisfy the quantity wise or the customer we had also produced, so…
Joe Pratt: It sounds me like -- it sounds me like he is not giving you a long-term enough order to compensate you for your expenses?
M.K. Koo: That is true. That is true. And that even though the confirm order for our experience, maybe, for example, in early of January and then they will cancel, confirmed our normal PO already issued to us. And then still they will have it cancel and drop it significantly. So this one makes the company very difficult to satisfy the customer, also provide the company with a stable business and then management can’t be more well prepared to arrange everything. So (inaudible). So this is a very difficult situation. That’s why we request the customer. Unless we kept the stable and then non-canceled product can be acceptable the order and must recover minimum for one quarter and then we were happy to proceed -- arrange everything -- produce the quarter for the customer. So this is under negotiation. But in case our unit price cannot satisfy the customer, they were looking for another supplier. And then we have no long-term business, even though maybe we lose order business.
Joe Pratt: But are there other suppliers that you can get or does it have to have your capacity?
M.K. Koo: Original -- normally, the Japanese company will final the two supplier. But right now, I’m talking about is a third-party, it’s is a new component supplier. But new component supplier, the quotation because of geography, they are located in other countryside or other province. And then maybe the rental charges for them and then the labor charges compared with us maybe cheaper than us. But this situation is regional already customer well known about that before they request us and then a company commit to have a capital investment. So I think that the cases maybe cannot be acceptable by the company. But anyway, we have to consider maybe customer has some of their own vision. So we don’t want to have a pardon or argue. So that’s we say that in case the situation cannot be improved or maybe they are tempted to use our effort to produce some of the new model or the empire. So we will fully support them but we’re also looking for the -- protect our company’s interest. Even though this is a temporary order, we are looking for the reasonable unit price. And then non-cancelation of the order after they confirm, so this is what we are under negotiation with the customer. So we hope that, okay, we will finalize the order for the customer to support them and also allow for the company can get a reasonable unit price or such kind of temporary dealing.
Joe Pratt: Okay. But Mr. Koo, if your negotiations are successful for the volumes fee, what you thought they were going to be in 2013, let’s say, six months ago. Six months ago, you had an idea of how much volumes you were going to get from JDI for the iPhone and for the displays for the smartphone? Did the size of those volumes occur?
M.K. Koo: Number one is that the forecast order time is changing and then reduce our loss. Nobody know we had experienced as I mentioned before. But after this month, they are looking for the company to provide a strategy and then it’s up to in the third quarter will be still looking for 4 million piece of equipment and then only expand to end of September. In the last quarter, we thought maybe consider about their forecast is true or not. So we were happy to find out everything to become strong in the third quarter first from today. And before I recognize that we mentioned about it, maybe the order, in case we are still in negotiations to cater our new order for the new order and then we will be -- via family relationship maybe up to the end of June. Before I find out that maybe how the company is mentioned about it and that will be at the end of September, maybe this is from the area. In our news release, we have mentioned very clearly. It will be family, maybe at the end of Q2.
Joe Pratt: Okay. And how many smartphone displays did you make in the March quarter?
M.K. Koo: In the March?
Joe Pratt: In March quarter.
M.K. Koo: You mean in the first quarter?
Joe Pratt: Yeah. First quarter.
M.K. Koo: In the first quarter, finally, we will be producing LCM for the smartphone, approximately around the price meaning from our (inaudible). No, for the whole quarter.
Joe Pratt: Okay. Okay.
M.K. Koo: Three months.
Joe Pratt: Three months, okay. And how many do you think you will produce in the June quarter?
M.K. Koo: In the second quarter?
Joe Pratt: Yeah.
M.K. Koo: In the second quarter, it will be approximately around or maybe around $6 million, $6 million to $8 million.
Joe Pratt: Okay. And if you can -- you can’t negotiate this symmetric price rental stop after July first.
M.K. Koo: You mean the third quarter. Third quarter is -- one more thing. That first quarter and the second quarter mean is that it produced our own model. And then from our June, probably maybe we will produce new model.
Joe Pratt: Okay. In new model after June, if you can successfully negotiate.
M.K. Koo: Yeah. And then in the third quarter is looking for -- all the time is looking for up to the preceding quarter for the 4 million peoples per month.
Joe Pratt: For the third quarter?
M.K. Koo: In the third quarter
Joe Pratt: And, Mr. Koo, what about making the display for the China Telecom’s smaller phone?
M.K. Koo: It’s the second of our customer because we are few with only. Our direct customer is from Japan and then they are not getting into some business involve to China Telecom, something like that. So all of our production also is under the security and then it’s exclusive only for the one end-buyer and not this acceptable in another customer which is also another reason. So we only on handle with one single end buyer.
Joe Pratt: Okay. But is that single end buyer that you are making the product for now that display going to get the -- have a relationship with China Telecom?
M.K. Koo: They probably may be using their channel to sell direct for them only.
Joe Pratt: Okay. Thank you, Mr. Koo.
M.K. Koo: Thank you.
Operator: Our next question comes from the line of Bill Horn with First Angel Capital. Please proceed with your question.
Bill Horn: Good morning, Mr. Koo.
M.K. Koo: Good morning.
Bill Horn: I just wanted to follow-up. On the previous conference calls you had brought forth the idea of producing ultrabook displays. And I think in our discussions you had indicated that the ultrabook display is something that could fill in under same production line that you were producing the tablet displays. Can you give us an idea as to where you stand with the potential of producing ultrabook displays, if it’s still moving forward but what type of timeframe you are looking at?
M.K. Koo: Yeah. Thank you for the question. Regarding the ultrabook, the LCM business which comes from the same direct buyer, direct customer. But unfortunately, as you can learn about all of the PC in the global market has dropped significantly. And our forecast from our customer original is dropping down continually under the several times of dropping down is now a very small number, maybe less than 10,000 per month will be in forecast. And compared before, it’s big percentage is dropping. So it will be not successful and even though the assembled is delayed, we will produce because still they are looking for confirm order from the customer first. So this is difficult time for our direct customer we are facing. So the understanding about the situation and then we can do no nothing about.
Bill Horn: Okay. Under first quarter production you had given, Joe Pratt an idea on the smartphones, can you give us the production -- unit production for the tablets for Q1?
M.K. Koo: For the Q1, our tablet actually is we are producing nothing and only is our produced for some that we work for the some of the original, we produced the LCM and then customer request us to have some -- we love the job we are handling and customer request us to keep up most of the headcount for the worker, is waiting for their negotiations with the end customer. We will certainly have orders conformed and we can still have to work out to provide a service to produce for the customer. And this is the first part of the situation. Regarding the second quarter -- yeah.
Bill Horn: I’m sorry. So that was for the Wuxi production line you were just talking about, correct? Keeping the headcount?
M.K. Koo: Yeah.
Bill Horn: Okay. Sorry to interrupt.
M.K. Koo: And -- okay. In the second quarter right now, we are encouraged that customer negotiations with the end buyer to support all the component to our supplier can swing up their inventories. And then finally, all of us are dropping down our unit price and then to offer more cheaper of the unit price to the end buyer. They are successful to get the order to clean up all the inventories for our component supplier. So we still are manufacturing these tablets in the second quarter that quantity wise will be considered over than 400,000 only.
Bill Horn: Okay. Thank you. In the past you had described your relationship with Sharp in working on their new technology, the IGZO technology. Is there anything moving forward with that new type of technology with Sharp?
M.K. Koo: Yeah. Nothing. This new product is only using their product for assembling LCM and because of the order for assisting end-buyer, it’s become the [CEO] and also the ultrabook, computer, LCM also is not successful. So we are now proceed for to using the high-end display.
Bill Horn: Okay. Thank you. Thank you very much, Mr. Koo. I will get back in the queue. I appreciate your comments.
M.K. Koo: Yeah. Thank you.
Operator: (Operator instructions) Our next question comes from the line of Michael Prouting with Harvest Capital. Please proceed with your question.
Michael Prouting: Good morning, Mr. Koo, and thanks for taking my question.
M.K. Koo: Good morning, good morning, please.
Michael Prouting: I just wanted to clarify, just specially one answer to the prior question. Could you just repeat again, how many smartphones you expect to produce in the June quarter?
M.K. Koo: In June quarter we will be consider, regarding the April already is up to the end of today and then including May and including June, we were looking for around 6 million, [60K] for this month.
Michael Prouting: Okay. Great. Thank you for clarifying that.
M.K. Koo: Thank you.
Michael Prouting: A couple of quick questions?
M.K. Koo: Yeah.
Michael Prouting: How much do you think it will cost to complete the first stage of your real estate development project?
M.K. Koo: We are lucky that we have land. It’s become very important and valuable because of location. And then our land is possibly around 530,000 square feet. And we are allowed to give up to a high income resi building. The size for the area will be up to because of costs will be around five to seven times. So maybe we’re using the six times to completion and then have built the office building will be around the few (inaudible) exactly. But we are not considered to build by the one time, because the construction costs and data management is simple. So we have divide into maybe using the 10 land divide into the four buildings. The first building will be build first and that will be around 700,000 square feet, so the constructions costs, as I mentioned before, is around 2,500 square meter at this moment. And then we can keep rental charges of possibly around the $5 per square feet and then the year -- whole year accordingly we can keep around $40 million income for the rental charges. So this is the land. So anyway we are so lucky to get a land and then for the company also our shareholder interest
Michael Prouting: Okay. Thank you for clarifying that. And then, what’s your thinking on the dividend at this point, would you anticipate continuing to pay the dividend if you’re not successful in gaining a contract to the new smartphone?
M.K. Koo: For the dividend, we are not guarantee for the future everything forever. But for this year, we already have managed. The company already shifted dividend for this year. So we already pay -- recently paid one times and then already we pay two times already. So another two times we will continue to pay quarterly according to original schedule. So this is a commitment and the company already did shift.
Michael Prouting: Okay. Thank you for clarifying that.
M.K. Koo: Yeah. Thank you.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Mr. M.K. Koo for closing comments.
M.K. Koo: Yeah. The company is facing the difficulty for the origin of our core business. And then in case we bought the land and then we can use for the world and then protect all of our shareholder interest. And then we just say that we’re lucky. And then facing some kind of difficulty -- the company can overcome the difficulty and then protect all the assets and then all the interest for the shareholder. And then we hope that the asset, the total asset value can be effective. And then to prove that we have no loss on our market cap or something as per the share price I hope. So this is my comment on recently what happened. So if all the investor or shareholder have any questions, the company will be very happy to answer to clarify everything. So I and Kevin will handle the job and then we keep on contact each other to provide all the answers to all the investor or shareholder or the analysts. So thank you for you joining today our conference call and then we hope everything will be going fine. Thank you.
Kevin McGrath: Thank you, Mr. Koo. Thank you, Christine. This concludes the call for today. And we look forward to speaking with you during our second quarter 2013 conference call at the end of July. Thank you.
M.K. Koo: Thank you. Have a good day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.